Operator: Greetings, and welcome to the XPEL, Inc. Third Quarter 2025 Earnings Call. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Mr. John Nesbett of IMS Investor Relations. Sir, you may begin.
John Nesbett: Good morning, and welcome to our conference call to discuss XPEL's third quarter 2025 financial results. On the call today, Ryan Pape, XPEL's President and Chief Executive Officer; and Barry Wood, XPEL's Senior Vice President and Chief Financial Officer, will provide an overview of the business operations and review the company's financial results. Immediately after the prepared comments, we'll take questions from our call participants. A transcript of this call will be available on the company's website after the call. I'll take a moment to read the safe harbor statement. During the course of this call, we'll make certain forward-looking statements regarding XPEL, Inc. and its business, which may include, but not be limited to, anticipated use of proceeds from capital transactions, expansion into new markets and execution of the company's growth strategy. Such statements are based on our current expectations and assumptions, which are subject to known and unknown risk factors and uncertainties that could cause actual results to be materially different from those expressed in these statements. Some of these factors are discussed in detail in our most recent Form 10-K, including under Item 1A Risk Factors filed with the SEC. XPEL undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. Okay. With that, I'll now turn the call over to Ryan. Go ahead, Ryan.
Ryan Pape: Thank you, John, and good morning also. Welcome to our third quarter call. Q3 was a record quarter for us for revenue, which grew 11.1% to $125.4 million. Performance was led by the U.S. region, which grew also 11.1% to a record $71.7 million. We saw double-digit revenue growth in both our independent and dealership channels in the quarter. So that's encouraging. That's good momentum. Our EU region had a good quarter, revenue growing 28.8% to $16.5 million, which was a record there as well. As you recall, we saw headwinds in Q3 last year, so it was also an easier comp, but good performance. And as you likely know, we completed our long contemplated acquisition of our Chinese distributor in early September. Given the acquisition closed late in the quarter, we didn't see much material financial impact, but you will see elevated SG&A from acquisition-related professional fees in the quarter. And then, of course, added SG&A expense for the month of September under our ownership. We've hit the ground running and the integration is underway. I was with our team 2 weeks ago. I can tell you that we've added amazing people to the team. Both our team and our customers are very excited about this and what it means for our business in the country. The customers were very receptive, and so it was -- is incredibly encouraging. We have a lot of work to do from the integration perspective, but obviously see a huge opportunity and really we'll continue our focus to pursue the OEM and 4S business in China. With this acquisition, along with our acquisitions of Japan, Thailand and then India prior to that, we really rounded out our footprint that we see in APAC, but then beyond. We continue to see similar trends affect all the regions at different times similar to the slowness we saw in the U.S. to start 2024. Canada revenue declined from the prior year, continuing a trend of a slow market in Canada for this year. We saw really slow Q1. Q2 was better. Q3 was not as good as Q2. I wouldn't call out anything in particular, except just a broad-based slowness across the whole portfolio of customers. And then as I mentioned, Europe was up meaningfully. India and Middle East grew modestly, but this market is more tied to distributor sales. So there's a little bit of sell-in, sell-out noise there. But we're really bullish on what's happening there. It's a priority market for us, and there's a lot more to come. Latin America was flat due to weakness in Mexico, but really from a switch to a direct model in Brazil from a distribution model. Our expectation for Q4 revenue to be in the $123 million to $125 million range with sort of the normal cyclicality we see in U.S. and North America. Assuming we hit those numbers, that would take us to year-over-year annual growth for '25 in the 13% to 14% range. On the gross margin front, we did see a little pressure to gross margin in the quarter relative to our overall trend. We had unfavorable price increases that were out of line with the market, which cost us about 170 basis points of gross margin in Q3. Absent this specific impact, you've actually seen gross margin grow from the prior year. These aren't tariff related, and we've mitigated that going forward and we expect to see that reverse starting in Q4 and into Q1. The other item that has an impact on gross margin in the near term is the nature of our China distributor transaction. We're selling through inventory acquired in the acquisition. And as we do that, we're only recognizing roughly the former distributors portion of the margin as the inventory is now on our books at an amount that approximates the distributor's former cost. So obviously, a key rationale to buy your distribution is to increase gross margins, which it will do for us in a meaningful way, but only as we sell through existing inventory. Barry will discuss a little bit more the unique structure of the transaction relative to inventory. But we did add on the order of $22 million plus or minus in inventory as part of the purchase. So you'll see inventory increase on our balance sheet, but really, that's a function of this transaction and it's structured in a way that's very favorable for us. So our underlying inventory trend and our improving inventory turns remain solid and would not interpret the balance sheet on face value to say anything else relative to inventory. With that said, we'll have great cash flow as we sell through that inventory, because the turn times to replace it and the total inventory needed to supply the customers both on our side and the former distributor side will reduce. So we'll see -- start to see relief from that in Q1 when we have both halves of the margin as both the supplier and distributor for the first time. So as we get into Q1 and Q2 of next year, we'll see record gross margins for the business at the consolidated level based on these investments and changes. The SG&A continues to run hot as we invest in the channel to support these new countries. We've got some optimization to do in our corporate cost structure, but most of the costs added in the past 18 months is in the channel and in the distribution business. And now that we've really completed the build-out of those, save a little bit more investment in Brazil, we'll start to see leverage on that. China, as an example, with this acquisition will add $5 million plus or minus in annual SG&A, including intangible amortization. But once we see the full gross margin, we'll pick up approximately $10 million in operating income from China on an annual run rate basis. So I just remind everyone that you have to consider the SG&A and the gross margin interface together when looking at the trajectory of the business, especially as we start to realize that gross margin into next year. And I think from our perspective, there's no better time in history to make these really final investments in these countries where we want to operate the most. This is a very tough environment for many people, for many of our competitors. You see a lot of folks pulling back where we're investing. And I think that's what you want for the long term. The investments in SG&A in these countries is very much front-end loaded. But these are the best markets in the world, and they're ones that are impossible to develop in any meaningful way without our direct participation. So investing now sets up perfectly for going forward. And certainly, as you see demand in the environment recover and we see different performance in different places, obviously. We spent the better part of 18 months on our capital allocation strategy, which we've discussed pretty freely on these calls. And this has included evaluation of a number of approaches, including expansion via M&A into adjacent products and services, really in the broader industry in which we participate. And this is looking at things that aren't directly related to what we do, but could ultimately bring more demand by bringing other customers into the fold. After a thorough review, our Board decided that continuing to invest in the core of the business is really the best strategy. There may be other adjacencies in the future. There are plenty of opportunities in our core today, and we've yet to hit the full operating potential of the existing business. So once we hit that full potential, we can reevaluate those concentric rings that surround our business, but to do so today is premature. And at the end of the day, much as we like those other opportunities for growth and our desire to build a bigger business, we don't like them better than our core business. And that will guide our near-term decisions. So to that end, we will be investing more in our manufacturing and supply chain via varying approaches, direct CapEx, M&A or JV relationships. We have a goal of increasing gross margin by approximately 10 percentage points to around 52% to 54% by the end of 2028 through those activities. We -- with that extra gross margin running through our various businesses, particularly where we control our own distribution and get full margin, we have a goal of realizing operating margins in the mid- to high 20s. Commensurate with that, even with the cost of any of those things we'll do. We would consider investment in the range of $75 million to $150 million over this period, pretty wide range, but we've got a number of options about how we do this. And it's -- either way, it's a very favorable return without the risk or complexity of adding additional lines of business relative to our overall strategy decision. Secondly, we will continue to pursue service business acquisitions within our core with a focus on dealership services with our current product set. Those opportunities are comparatively few in number and relatively small in scale for the most part. But as we can identify and acquire them, this will remain a core part of the strategy. Finally, even with the aforementioned investments, we do expect to have excess cash considering healthy balance sheet, strong cash flow and appetite for modest leverage. Assuming all that remains true, there'll likely be an opportunity to return cash to shareholders. Share repurchases look particularly attractive at the moment, given our view of the valuation of the business. Turning to business. We have a number of exciting things going on. We've talked in the past year about our product line additions, color films, windshield films. And we'll spend the next year getting these to their full potential. We have a very robust product line now, and our focus will be less on adding additional products and more on selling more of what we already have and iterating to the next generation of the products that we already have, like entering new channels, new products and the launch of new products and the development of new products are expensive, and our focus will be getting a return on the investments that we've made. Our OEM business interest is strong with the global car manufacturers. Although our bottom line performance from our existing programs has missed our expectations and it's certainly a drag on results due to disruptions that plague the manufacturers or creating consistent spikes in demand, which challenge us on the cost side. We get better at how we manage this environment with each passing month and a subsequent project, and it remains an important focus for us and an important growth driver of the business going forward. Part of that is our referral personalization platform where we're selling installations online to consumers on behalf of our partners, namely some of the OEMs. We've been driving increased volumes to our aftermarket network for installations in a model that no one's ever done before. We continue to have more interest from others in expanding this program, and it's become quite valuable to many of our installer partners as a source of volume, while the retail aftermarket remains very sluggish. We expect to continue to expand this going into next year and beyond. And finally, a discussion of our investments in DAP. Our SaaS platform has taken a back seat to other initiatives. The work on this continues unabated. We received -- we redirected some of our team to our personalization platform as we've launched that in earnest, but we continue to advance on DAP in a way that we know will make our customers more efficient and ultimately sell more products benefiting them and us. Our view is even in the aftermarket channel, due to the friction and inefficiency of how the channel operates, there is substantial consumer demand that just slips through the fingers of the collective industry. And our goal with this project is to solve for that. So I think a really important time for us. A lot of moving pieces and different things going on, but we feel very good about the decisions we've made and about our strategy going forward. We're really pleased to have this acquisition in China complete. It was a tremendous amount of work. Obviously, more work to come, but it really helps cement our direct distribution model in the most important global car markets of the world. And so it's quite an accomplishment, and it will pay tremendous dividends for us. And I thank everybody on our team and everybody else who's been involved in getting that done. So very pleased with that. So with that, I'll turn it over to Barry.
Barry Wood: Thanks, Ryan, and good morning, everyone. Just a couple more bullet points on our top line performance. our total window film product line grew 22.2% in the quarter, and this continues really to be a nice growth driver for us. Our total installation revenue increased a little over 21% in the quarter. And this includes product and service for our dealership services business, our corporate-owned stores and our OEM business, all had solid performance in the quarter, notwithstanding the OEM choppiness Ryan mentioned. And our corporate store performance, as we've said in the past, is a decent indicator of how the aftermarket is doing. On a year-to-date basis, our total revenue grew 13.1%. Our total SG&A expenses grew 20.8% in the quarter to $35.7 million, and this was 28.4% of total revenue. We did have approximately $1.3 million in added acquisition related to SG&A and approximately $0.8 million in bad debt and some other costs that are not expected to reoccur. On a year-to-date basis, SG&A grew 18.2% to $102.7 million. Our EBITDA did decline in the quarter at 8.1% to $19.9 million, and our EBITDA margin finished at 15.9%. On a year-to-date basis, our EBITDA grew 4.6% to $57.8 million, and our year-to-date EBITDA margin was 16.3%. Net income for the quarter decreased 11.8% to $13.1 million, reflecting a 10.5% net income margin and EPS for the quarter was $0.47 per share. On a year-to-date basis, net income grew 3.7%, reflecting a 10.7% net income margin and our year-to-date EPS was $1.37 per share. I thought it'd be useful to give a brief overview of the structure of the China transaction given its complexity. We -- first, we formed a new entity in which we have a 76% interest. This new entity then acquired the assets of our Chinese distributor. The purchase consideration for this totaled just under $53 million before discounting for time value of money. And there are essentially 3 components to the consideration. First, obviously, there was a cash upfront. Second, there was deferred consideration or really cash payable over a 4-year period. And thirdly, there was consideration contingent on future sales of what we considered as excess inventory as of the close date. This excess inventory was part of the inventory acquired and the contingency is structured such that we pay some consideration if the excess inventory is sold at a profit, but we effectively are not penalized if any of the excess inventory is sold at a loss or has never sold and needs to be written off. As Ryan mentioned, in the overall transaction, we effectively added approximately $22 million in inventory if you consider inventory acquired and inventory contributed by minority holders. The first 2 items, the cash upfront and the deferred consideration are about 75% of the total consideration. And for various customary legal reasons unique to the transaction, only a portion of the cash paid upfront was actually remitted and the rest of the upfront payment will be paid very soon. And this is important to understand when you look at our balance sheet as we've broken these components out there. The remaining upfront payment still payable and the contingent consideration is reflected in the short term. And other short-term liabilities on the balance sheet. The deferred consideration, the cash payable over a 4-year period is reflected in other long-term liabilities. So as Ryan mentioned, we're certainly happy to get this deal behind us. It was somewhat a complicated deal, and there was a lot of hard work done by several people to make this happen. We have a great team in the region, and we are really looking forward to watching them grow that market. Our cash flow provided by ops was $33.2 million for the quarter compared to $19.6 million in Q3 last year, which was a record for us. And you may notice, if you're looking at our balance sheet, a decent size increase in our AP and accrued liabilities line, there's nothing unusual there as this is related primarily to timing. We've got extended terms with most of our raw material suppliers. So timing of payments can create some fluctuation, but it's all in the normal course of business. I'll also add that we did see a slight improvement in our cash conversion cycle in the quarter. So all in all, a solid quarter for us, and we look forward to closing out the year strong. And with that, operator, we'll now open the call up for questions.
Operator: [Operator Instructions] And your first question is coming from Jeff Van Sinderen from B. Riley.
Jeff Van Sinderen: Just curious if we could circle back to one of the things you touched on in the prepared comments. I think you pointed out that there were some out-of-line price increases you experienced. Maybe you could touch on how those manifest, how you mitigated and -- also then, if you could kind of dovetail that into leaning into taking more of the manufacturing in-house.
Ryan Pape: Yes, Jeff, sure. So we did experience some price increases that really manifest in the quarter. I think in our remarks, we called out that was about 170 basis point impact to gross margin. I think that -- I guess the best way to characterize that is, I think if you look at the industry overall, it's been a challenging time for people and a lot of decisions made on how best to run your own business and where you may want to make up margin for lack of demand. Obviously, not impacting this and not impacting us is the overall tariff environment. So that's been a challenge for some suppliers. and looking for extra margin in other places. So I really can't characterize it more than that, except that we've got a very robust set of suppliers. And so where there's outsized price increases, that don't make sense for the market. We have plenty of options on how we mitigate that. And so that was -- that happened, but it's been mitigated. We'll start to see that reverse in Q4. And I think broadly speaking to the second point, we have a desire and see incredible opportunity to invest further to be a highest quality and lowest cost provider of the products. And if you have the best supply chain and the best distribution and the best brand, I think you're in pretty good shape for the long term. And so I wouldn't characterize what we're doing there in a very discrete way. Certainly, there's elements of the supply chain we could take in-house and do that in a number of ways. But we also have a number of really good partners that we could form deeper partnerships with. And so we have a very broad mandate to do that, and we have a lot of ways to win by doing that. And this is not an overnight thought either. This is something that's been in the works for some time in terms of our analysis. And so I wouldn't characterize just one way to do that. But what we know is that we can drive substantial gross margin improvement in this business over time by investing in it. And I think the big picture is that until we've done that and we've maximized the business that we have, we need to prioritize those investments versus pursuing other lines of business in which we have a less competitive advantage and less experience. And so that's the direction and the decision that we and the Board have made, and we have a great team who will now execute on that.
Jeff Van Sinderen: Okay. And then curious on the rollout of your colored films. I noticed some marketing around that. It seems pretty exciting. Any color you can give us, I guess, on early dealer embracement of that? And how impactful do you expect the colored films to be to your business over the next year or 2?
Ryan Pape: Yes, it's a great question. So the rollout has been great. It's been well received. Our team has done an amazing job, probably the best product rollout that we've ever done in our history when you -- and I say that from external-facing standpoint, but also an internal standpoint, which the rest of the world would appreciate, but I certainly do. I think it's -- our view on it has been relatively conservative. I think the question is what is the growth opportunity within that space given the sort of aftermarket color change business has been around for a long time. So do we see this as something that we can just take share in? Or do we see this as something where the underlying demand is going to grow? Our initial view was there was certainly a market in which we could take share. I think what we're seeing a little bit of is that I think the market is going to grow. I think as the products now are better and they can be delivered in an even better way and marketed better, there's probably more new interest in that than I would have thought. And you see -- I think you'll see more engagement too from whether it's the dealership channel and the OEM channel wanting to offer more options to consumers that maybe you can't do with a limited color palette in a traditional automotive setup. And so I think though if those get traction, you have the opportunity for a substantial expansion of that. So early days for us, but I think I'm quite pleased and we expect to see more from that going forward.
Operator: [Operator Instructions] And your next question is coming from Steve Dyer from Craig Hallum.
Matthew Raab: This is Matthew Raab on for Steve. In the PR, you called out the mid- to high 20% operating margin by 2028. Given the investment in manufacturing, that implies 10 points of expansion over the next few years. I guess whether it'd be organic or inorganic growth, what are the revenue assumptions underpinning that margin expansion?
Ryan Pape: Well, I think we've been pretty consistent that we think that a low double-digit sort of organic revenue growth even with all the noise and the weakness that we see that continuing out for us certainly through the midterm. So it doesn't -- we're not sort of making any change to our kind of midterm view that, that's the sort of revenue growth we think we should be able to generate.
Matthew Raab: Okay. That's helpful. And then maybe just a couple of housekeeping items. Maybe, Ryan, if you could just give an update on the sentiment across the aftermarket in dealer channel. Q4 guiding to 15% growth in the quarter, obviously, good. But any other further detail you have there would be great.
Ryan Pape: Yes. I mean, I think it's a real challenge. I mean if you look at sort of our peers in the aftermarket and other places, there's a real mix sentiment. What we found interestingly is that the weakness in the sort of trough in sentiment has sort of bounced around globally. Obviously, you had the U.S., you've got sort of Canada now. You had Europe maybe at some point last year. And we've kind of seen it more negative and then recover some. I think if you look at the retail automotive business in the U.S., they're certainly back in the mode of looking for extra gross profit as things are tougher there and just compression in margins and challenges with affordability and tariff impacts into new car pricing and all that. And so that's negative in the sense that, that's still a headwind for the consumer where you have upward pressure on pricing and affordability. Maybe we get some relief from sort of the interest rate situation in terms of the affordability overall. But it's positive for us in the sense that when it's tougher for dealers, there's more push to find other ways to make money in the things that we do provide more value on a percentage basis when it's harder overall. So I think from that standpoint, that's actually quite positive. I just think it's -- we've never been in an environment where you get more differing views on what's happening. I don't think there's this universal consensus that things have substantially improved or that the consumer sentiment is way better. But at the same time, there hasn't been any skies-falling moment. So our approach has been that we have to power through. We've got to be mindful of those dynamics, but we've got to set the company up for the long-term success and make investments where we need to make it. And we know that the consumer and the demand picture, it will all settle out. And I think you've seen some stress. Barry mentioned in his remarks, bad debt, there was an aftermarket chain of some sort that filed for bankruptcy that we had some exposure to. So you see a little bit of signs of stress like that, nothing meaningful or material to the business overall. But I think that's kind of emblematic of what's going on. And then you've also seen an influx of competitors into this space. And this current environment makes it more challenging for them, especially those trying to get rooted and footed, and that's all the more reason why we need to keep the pedal to the metal and maintain and grow our positioning. So long answer to your question, but I think it's a mixed bag overall.
Matthew Raab: Understood. And then on gross margin, it sounds like there's a little bit of a drag expected in Q4, just given some of that China inventory and then expect a record in Q1 and Q2 '26, level of the impact there across those 3 quarters would be helpful.
Ryan Pape: Well, we -- yes, the sort of drag from China with that higher-priced inventory and then sort of the tail off of some of that price increase, that will remain in Q4. However, on a comparative basis, Q4 of '24 was quite low in gross margin. So the expectation is that we should see some gross margin improvement from the prior year in Q4 on a percentage basis, even though we -- to your point, we'll be off of that sort of full potential until we get into the end of Q1 where we're recognizing all of the margin in China and we fully remediated the cost increases that we've seen.
Matthew Raab: And then any commentary on Q1 and Q2 '26, just the level of improvement expected there?
Ryan Pape: I think I'm hesitant to quantify it any more than we have, only because we've got to turn the inventory and sell what we've got. But our position is that we will be seeing highest gross margins we've seen as we get into that time frame.
Operator: And this does conclude today's question-and-answer session. I would now like to turn the floor back to management for closing remarks.
Ryan Pape: I want to thank everybody for joining us today and thank our team for doing an amazing job, and we've got a big contingent at the SEMA Show in Las Vegas, a big annual event and we're on a great display. So thanks, everyone.
Operator: Thank you. This does conclude today's conference call. You may disconnect your lines at this time, and have a wonderful day. Thank you once again for your participation.